Operator: Ladies and gentlemen, thank you for standing by and welcome to Walgreens Boots Alliance Inc. Third Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I'd now like to hand the conference over to your speaker today, Gerald Gradwell, Senior Vice President of Investor Relations and Special Project. Thank you. Please go ahead, Sir.
Gerald Gradwell: Good morning, ladies and gentlemen, and welcome to our third quarter earnings call. On the call with me today are Stefano Pessina, our Executive Vice Chairman and Chief Executive Officer of Walgreens Boots Alliance; James Kehoe, our Global Chief Financial Officer; and Alex Gourlay, Co-Chief Operating Officer of Walgreens Boots Alliance. Before I hand you over to Stefano to make some opening comments, I will, as usual, take you through the legal Safe Harbor and cautionary declarations. Certain statements and projections of future results made in this presentation constitute forward-looking statements that are based on our current market, competitive and regulatory expectations and are subject to risks and uncertainties that could cause actual results to vary materially. We undertake no obligation to update publicly any forward-looking statement after this presentation, whether as a result of new information, future events, changes in assumptions or otherwise. Please see our latest Form 10-K and 10-Q for a discussion of risk factors as they relate to forward-looking statements. And note in particular that these forward-looking statements may be affected by risks relating to the spread and impact of the coronavirus COVID pandemic. In today's presentation, we will use certain non-GAAP financial measures. We refer you to the appendix in the presentation materials available on our Investor Relations website for reconciliations to the most directly comparable GAAP financial measures and related information. You will find a link to the webcast on our Investor Relations website at investor.walgreensbootsalliance.com. After the call, this presentation and webcast will be archived on the website for 12 months. I will now hand you over to Stefano.
Stefano Pessina: Thank you, Gerald and good morning to everyone. This quarter, once again, a main theme for our quarter has to be the global COVID pandemic and now it has impacted our business. So I want to start once again by thanking our people for their outstanding effort and dedication. In the service in the service of their local communities despite facing challenging situations. Our teams have continued to walk tirelessly demonstrating exemplary dedication and commitment to help ensure continued availability of medicine and device to our patients and to maintain as efficient a supply chain as possible to our own pharmacists and our wholesale customers. Our priority is to protect the health and wellbeing of our customers and our people as we work to serve our communities, playing an essential role in the healthcare systems in many countries around the world. We made clear on our last earnings calls that we had only begun to see the impact of the COVID virus. In this quarter, the full extent of that impact is also apparent. COVID has impacted all of our markets, but for us, the impact has been most significant in the US and especially in the UK markets. The immediate nature of the progress of the spread of the virus has fundamentally changed to the way our customers have had to approach managing their health and their daily shopping needs. As lockdowns and restrictions were introduced, we saw significant declines in footfall in our stores. At times reducing to a fraction of the pre-COVID level. At the same time, we needed to keep the majority of our locations open, to help ensure the timely supply of medication and to continue the vital support we offer people in our local communities. We have leverage all the resources available to us in order to maintain our services, while ensuring adequate safeguards are in place to protect our teams and customer. As you would expect we've seen unprecedented demand for home delivery and for online services. The development of these services is a core strategy for us and during the crises we have significantly increased our capacity to serve these demands. We believe that as the situation resolves, the process of lifting restrictions will be progressive, and we expect the return to our normalized state will take some time. Furthermore, we also believe that it is highly likely that certain aspects of customer behavior may change permanently. Obviously, we have taken a hard look to our key strategic priorities and validated that they are still very relevant and you know our digitalization program was one of our four key strategic priorities and you will see an acceleration of these over the coming months. Together with the major expansion of our mass personalization and customer engagement platform, that our recently announced agreement with Adobe Microsoft will deliver. We are also accelerating our Conformational Cost Management Program. A strong focus on controlling and reducing cost is even more important now investing the savings to drive future growth is one of our top priorities. Of course we remain absolutely committed to developing our healthcare offering across our network and making our store major health destinations. We've taken a key strategic step forward here by expanding our partnership with VillageMD. This brings physicians and pharmacists together both in physical location and through a digital platform. It will also allow both companies to accelerate our virtual healthcare solutions and fits well with our own digital strategy. We believe the capability to access physicians identifying pharmacies in a close and remote coordinated manner is the future of our community healthcare. I have already taken the first steps to ensure that that as a management team we accelerate our strategy with a perfect focus and clarity. I've asked Alex Gourlay, our Co-Chief Operating Officer to become more geographically focused rather than dividing their responsibilities by operational discipline. Recognizing the significance on Walgreens as our largest single business, Alex will now focus entirely on our US operations. Boots will now reporting to Ornella, along with the rest of our international operation. Our business is well broadly on track prior to the COVID crises. Both Alex and O'Neill are very clear on the need for us to move quickly to ensure that we emerge from the current situation in a position of strength and prepare to return to sustainable long term growth. I will now ask James and Alex to take you through our earnings presentation. James?
James Kehoe: Thank you, Stefano and good morning. As you’ve seen from our earnings release, our third quarter results were significantly impacted by COVID. Firstly, the Boots impairment charge led to a third quarter EPS loss of $1.95 and constant currency adjusted EPS was 43.4% lower than prior year. This decline was mostly due to an estimated negative COVID impact of $0.61 to $0.65. Retail pharmacy USA delivered sequential improvement in total comp sales with continued improvement in retail performance, offsetting a slowdown in scripts. We were faced with significant footfall declines across most of our markets in retail pharmacy international and especially in the UK. This was only partly compensated by much faster growth from our online businesses and finally pharmaceutical wholesale delivered yet another strong performance. The other two bright spots in the quarter were cost management and cash flow. A little later I'll talk you through the great progress we're making on our transformational cost management program. In summary, we are increasing our annual cost savings target to in excess of $2 billion by 2022. I do want to highlight that we remain in a solid financial position. Year-to-date free cash flow was $2.4 billion up 24% versus prior year. During the quarter, we moved quickly to increase our financial flexibility by over $5 billion and today we announced a 2.2% increase in our dividend. First let's look at the estimated impact of COVID on the third quarter results. Overall, we estimate a negative adjusted operating income impact of $700 million to $750 million. However, COVID impacted each of our divisions very differently. In Walgreens, solid comp retail sales performance partly offset lower gross margins and a falloff in scripts versus pre-COVID levels. Comp script growth decelerated due to a drop in doctor's visits and hospital admissions. Comp scripts slowed from 4.9% in the pre-COVID second quarter to 0.4% in the current quarter, consistent with the market as a whole. By contrast US retail grew faster in the third quarter with comp sales up 1.9% compared to 0.6% in the second quarter. Although foot traffic was down around 20% this was more than offset by a bigger basket. While retail comp sales improved gross margin was under pressure as consumer spending shifted from higher margin discretionary categories to lower margin essential categories and more customers shopped online. Adjusted retail gross margin declined by 85 basis points versus prior year, whereas in the second quarter gross margin was 65 basis points higher than the prior year period. We managed SG&A quite well. COVID related operational costs were little over $100 million in the quarter including one-time bonus payments for certain employees and higher training and safety cost. Our UK retail businesses were sharply impacted and accounting for around 46% of the overall impact on adjusted operating income and ultimately, our review related $2 of impairment charges in the quarter. Strict lockdown conditions led to a sharp reduction in high street footfall and Boots UK retail comps declined 48% in the quarter. We did much better on our online business Boots.com delivered very strong growth with sales up 78% in the quarter. Orders exploded and we quickly added new capacity to meet demand and Boots.com exited the quarter in much stronger shape. However, this came at a cost. Retail gross margin declined 440 basis points in the quarter as a result of higher fulfillment cost, reflecting increased online orders and a significant shift from in-store pickup to home delivery. Boots UK was also hit by higher operational costs, but these were largely offset by UK government programs including temporary abatement of property taxes. Let's now look in more detail at the results. Third quarter sales were up 0.1% and up 1.2% on a constant currency basis with the performance held back by an estimated COVID impact of around 2%. Adjusted operating income declined 46.4% on a constant currency basis, almost entirely due to COVID, which accounted for over 40 percentage points of the year-on-year decline. Let's turn now to the financial performance for the first nine months of the year. Constant currency sales increased 2.5%. On a constant currency basis adjusted EPS declined 18.3% with around 13% to 14% percentage points of the decline coming from the COVID impacts we encountered in the third quarter. Let's now look at the performance of our divisions starting with retail pharmacy USA. Sales increased 3.2% in the quarter. Total comp sales increased 3% slightly faster than the second quarter growth rate. Adjusted gross profit was down 8.7% with declines in both pharmacy and retail. Retail gross margin declined versus pre-COVID levels due to higher fulfillment costs and adverse product mix. Adjusted SG&A spend decreased 0.4% versus prior year despite over $100 million of COVID-related costs in the third quarter. Adjusted operating income declined 38.4% of which we estimate the COVID impact accounting for around 26 percentage points of the year-on-year decline. Now let's look in more detail at our pharmacy business, which encountered a slowdown in comp script growth compared to the previous quarter. Total pharmacy sales increased 4.6% versus prior year due to higher brand inflation and specialty sales. Central specialty sales continued to grow nicely up 15.9% versus prior year. Comp pharmacy sales were up 3.5% and this was pretty much in line with the second quarter, but with a different composition. As mentioned earlier, comp script growth slowed to 0.4% growth in the quarter and this was quite a bit lower than the pre-COVID second quarter growth of 4.9%. This was partly offset by higher brand inflation. While comp scripts declined 5% in both April and May, we're encouraged to see improved script growth in June of around 8%. Note that this includes some benefit from phasing and the default adjusted figure is closer to 3%. Turning next to our US retail business, which delivered improved revenue growth although with a lower gross margin. Retail sales declined 0.7% in the quarter including the impact of store closures. Comp sales increased 1.9% as sequential improvement from the second quarter. Excluding tobacco and e-cigarettes, comps were up 3.5% although consumers were shopping less frequently they were buying more per visit. Our flagship health and wellness category performed particularly well, up around 9% led by demand for vitamins and UPPE products, personal care grew 5% and grocery was up 8% despite a weaker Easter. Discretionary categories remained under pressure with beauty down 9% and photo down 34%. Geographically, we are seeing buoyant sales in rural areas with the overall result held back by sizable declines in urban locations. Turning now to store gross margin and I should point out that this is slightly different definitions than the adjusted gross margin numbers used on slide number five, store gross margin represents scanned gross margin and it is a good measure of core margin movements as it is less impacted by timing or phasing. In the third quarter, store gross margin declined 80 basis points versus prior year. Now this compares unfavorably to the 95 basis point increase we delivered in the second quarter. This negative impact was due to a shift in consumer spend from higher margin discretionary categories such as photo and beauty to lower margin everyday essentials. A good example here is the 34% decline in photo sales, which led to a 90 basis points negative impact on gross margin. While store gross margin improved somewhat in June, we are still tracking around 50 basis points below prior-year levels. In May and June, we saw improved retail sales trends as stay at home orders were relaxed, but footfall remains very weak and that was only partly compensated by strong dotcom sales. Turning next to the retail pharmacy international division, which was most heavily impacted by COVID. As usual our total constant currency numbers, sales declined 26.2% as the global COVID pandemic caused severe disruption across all of our international markets. The UK had a more stringent lockdown than the US, with stay at home orders imposed nationwide on the 23 March. As an essentially retailers most Boots UK stores were required to remain open. However, high street footfall ground to a halt and fell by as much as 85% at its peak. Additionally, our premium beauty and fragrance counters were closed for almost 10 weeks and given Boots' position as a leading beauty retailer this had a significant impact on comp sales. Additionally, on official advice most of our 600 optician stores were closed. The impact was sizable as this business had annual sales of almost $500 million and comp sales declined by over 70% in the quarter. The combination of high fixed cost stores and sharp sales declines led to an adjusted operating loss of $143 million in the third quarter compared to adjusted operating income of $165 million in the third quarter of last year. Overall, the estimated COVID impact on adjusted operating income was $365 million to $390 million. On a brighter note our retail JV in China is performing very strongly with third quarter percentage sales growth in the mid-30s. As of the end of May, the JV had more than 5,700 stores. Let's take a look now at some of the UK trends. Boots UK pharmacy comp sales declined 1%. We saw a pull forward of demand ahead of the lockdown but a decline in April and May as you would expect as the pull forward corrected and we saw fewer used prescriptions. Retail comp sales declined 48% in the quarter. Note than retail comps do not include Boots.com direct to home sales. Again we saw some increased demand prior to the lockdown but a very significant reduction after the stay at home orders were imposed. As I've said, although the majority of our stores remained open, footfall virtually ground to a halt and Boots was not a destination for consumers making a single weekly grocery shopping trip. By contrast, we saw very strong growth in our online business and we moved quickly to increased capacity. Towards the end of the quarter, volumes reached Black Friday levels on a daily basis and May sales increased almost 120% with June sales growth even higher. The success of our online business has been encouraging but it did have an adverse impact on retail gross margin, which fell 440 basis points year-over-year mostly due to higher fulfillment costs. Since quarter end, comp retail sales have shown a gradual improvement. Almost all of our Boots UK stores and the majority of opticians are now open, but while we've seen a slow return of consumers for the High Street, footfall remains significantly down on last year and we estimate comp retail sales declined by around 40% in June. Turning now to the pharmaceutical wholesale division, which I'll also discuss in constant currency. Pharmaceutical wholesale delivered another strong performance with sales up 5.3% versus prior year, led by the UK and Germany. Adjusted operating income increased 5.1% reflecting sales growth and a higher contribution from AmerisourceBergen partially offset by lower gross margin. Turning next to free cash flow, which on a year-to-date basis increased 24% versus prior year. Free cash flow was strong in the year-to-date period with $2.4 billion delivered in the first nine months of the year up $467 million on the same period last year. We estimate a COVID-related inventory build of around $500 million at quarter end and this was mostly offset by reductions in capital expenditures and cash inflows from government support initiatives. We took proactive action in the quarter to increase short-term financial flexibility by $5.1 billion including a $1.5 billion bond offering and $3.6 billion of credit capacity. We are increasing our dividend for the 45th consecutive year and we've decided to suspend activity under our share repurchase program for the time being. Year-to-date we repurchased $1.3 billion of shares whereas we previously targeted $1.75 billion for fiscal year 2020. Please note that our anti-dilutive program is unaffected by this decision and we will continue with our anti-dilutive share repurchases. Next let's go through the transformational Cost Management Program where we continue to over-deliver. We are increasing our savings target to in excess of $2 billion in annual cost savings by fiscal 2022, reflecting continued momentum and better line of sight to savings. Our store closure program is broadly on track and we're actually slightly ahead of target of the transition of our IT run and operational services to TCS by the end of the calendar year. Last week we selected Jenpak as our long-term partner for finance for the future program. This multiyear program will lead to improved cost capability and controls and help drive improved business outcomes. Given the severity of the COVID impact in the UK and the uncertain outlook, we are accelerating the transformation of our Boots UK and opticians businesses. This reorganization will impact more than 4,000 positions or around 7% of the workforce. Now I'll give you some more detail on guidance. Last quarter given the many variables surrounding COVID, we decided to temporarily suspend guidance. Although there are still many uncertainties, we now have a clear understanding of the full-year impact on our business. We are now introducing guidance for fiscal year 2020 and expect adjusted EPS in the range of $4.65 to $4.75. Furthermore we estimate the full-year impact of COVID to be in the region of $1.03 to $1.14 with the most significant impacts in the UK. While we do expect to see some improvement in sales trends, UK comp sales are expected to remain very weak. Gross margins will remain under pressure in the short term mainly due to adverse category mix and higher fulfillment cost. In the fourth quarter, we expect US script growth of around 3% and 3.5% and this remains below the 4.9% pre-COVID run rate. In US retail, sales are off to a strong start in June and suggest a fourth quarter comp sales growth of around 2% to 3%. However the US retail result will be held back by continued adverse category mix. June margin is around 50 basis points below prior year and is likely to be in that kind of range for the rest of the quarter. In the UK, we expect Boots UK retail comps to decline by around 40% with retail gross margins down around 400 to 500 basis points. As I said earlier, the UK margin declines are mostly due to increased fulfillment costs reflecting a significant increase in online sales and home delivery. These assumptions lead to an adverse COVID operating income impact of around $500 million to $575 million for the fourth quarter with around 60% from international. A word of caution here, this diagnose is based on the trends we're seeing in the month of June and does not factor in a potential reversal of these trends. In summary, COVID had a significant impact on our third quarter results with an estimated $0.61 to $0.65 hit to adjusted EPS. We are seeing some improvement in sales and gross margin trends but the nature and duration of the recovery is uncertain. However, we are introducing full year adjusted EPS guidance in a range of $4.65 to $4.75 as our best estimate of the likely full year outcome. This assumes COVID-related adverse impacts of $1.03 to $1.14 per share. While COVID has presented a huge challenge, we remain in a good financial position led by excellent free cash flow delivery. We've increased our financial flexibility, we suspended our share repurchase program for the time being and we're raising our dividend for the 45th consecutive year. What's important now is that we're taking swift action both operationally and financially. We've raised our savings target from the transformational Cost Management Program and we're quickly scaling our Omni channel and healthcare investments to spur future growth. I'll now hand over to Alex who will bring you through our plans for investing in future growth.
Alex Gourlay: Thank you, James. As you’ve heard the COVID pandemic has impacted all areas of our business. First and foremost I'd like to extend my sincere thanks to the incredible teams we have working in our stores and behind the scenes. Our teams have faced many challenges to help ensure communities continue to receive medications and services. Through this the dedication on a daily basis to serving our patients under and their customers has been outstanding in what has been a very difficult time for many, both at work and home. Now I'll update you on the significant progress we've made against our key strategic priorities, starting with healthcare. As you know, treating neighborhood destinations across the country is one of our core objectives. To underline it, we've agreed a significant expansion of our partnership with VillageMD, a major step forward for both of us. I recall this provide an integrated primary care and pharmacy model that will drive better health outcomes, reduce costs and provide a differentiated patient experience to the communities we serve. We'll be opening between 500 and 700 full service Village Medicals in more than U.S. markets within the next five years. These doctor-led clinics located at Walgreens pharmacies will provide comprehensive primary care services and will focus on developing relationships with patients to manage their long-term conditions. Once we've completed his initial role out we intend to build several hundred more clinics in at least 20 additional US markets. Very importantly beyond the physical locations we'll be developing home based monitoring and telemedicine services leveraging VillageMD integrated data and technology and our own fine care platform. We're investing $1 million of debt and equity in the partnership over the next three years including a $250 million equity investment announced yesterday. On completion of this investment, we expect our ownership interest of approximately 30% in VillageMD. Another core strategic priority is the digitalization of our business. We've taken significant steps in the quarter. We're now accelerating our plans and we'll be further increasing our investment in digital initiatives in the coming months. The pandemic has of course significantly increased demand for Omni channel products and more convenient services. We've extended our reach to customers in-store and online acting swiftly to revive new products and significant expand fulfillment services for example, extending our drive to service to include legal products such as health and wellness and wholesale essentials. Customers can now order online in advance and our products are equipped at our own 7,300 drive through windows without leaving the safety of their car, we're also ruling out cup-side collection for online orders and other delivery alternatives. Omni channel performance in the quarter was very strong. As you would expect, driven in part by changing customer behavior during the pandemic and have increased capacity in our online operations threefold to improve service to our customers. Sales on Walgreens.com were up 23% versus prior year. Total digitally initiated sales were also up around 23% and mobile app traffic was up over 200%. Finding alternative ways to receive care while staying safe has become paramount with many turning to telehealth offerings. Our fine care platform traffic was up 48% versus the second quarter to over 3 million visits and up 14 fold versus last year. The mantra one to two a day Walgreens Express Farms delivery service with FedEx increased significantly with the volume of prescriptions delivered up seven to eight fold since the last quarter. A program to let mass personalization facility by new technologies is already well advanced. For the second straight quarter, this boosted retail performance, increasing sales in the third quarter by 95 basis points. Last week we announced the strategic partnership with Microsoft and Adobe to launch a world-class modern technology and customer data resource, which will form the basis of a new customer engagement platform. This will further transform our already successfully retail mass personalization activities, allowing us to create a personal experience for each individual customer and pharmacy healthcare wellness annually. Turning next to our third strategic priority to transform and restructure our retail offering. We've extended our role in the community during the pandemic to offer vital healthcare services. We're working to start as a comprehensive testing solution across our US store network to provide self testing, in-store testing and lab-based testing solution that will provide every patient with virology and serology tests as appropriate in a way that best suits their needs. To do this, we're working with a number of partners including expanding our partnership with LabCorp alongside other solutions to provide the range and capacity of testing need. Looking forward, we of course, all hoping for a vaccine to develop soon. Once this happens, we believe we will have a key role to play protecting patients by using the vaccine quickly to those needed among the 8 million customers we interact with daily. Also in retail, we've upgraded our electronic accessory offering to focus on the high quality brands that customers are seeking, including agreement with Apple to sell their branded accessories. And finally the benefits from the COVID partnership have been even greater during the COVID pandemic and we're continuing to explore how we might be able to expand this partnership. Next, Boots U.K. this, of course, has been a very difficult quarter and as you’ve heard the COVID pandemic has a far greater impact on our UK operations and it's hard in the US. Today we announced a program to restructure Boots, accelerated to adopt to the changing operating environment and logistics costs in the wake of COVID. This has been a very tough decision, but we're taking this action to ensure a sustainable future at the time of economic uncertainty and are shifting customer behavior towards online and digital channels. We are proposing a reduction of over $4,000 rules in total across Boots Opticians, representing around 7% of the current workforce. This includes a proposed reduction of approximately 20% of our employees in our head office, around 7% of our store colleagues and the closure of 48 Boots opticians. As you’ve heard COVID has caused a dramatic and radical shift in our business but our teams have responded rapidly to the challenges. In Pharmacy, we're playing a key role in supporting NHS. We quickly developed and implemented drive through testing. In the quarter, undertook more than 330,000 COVID tests. We trained our Boots pharmacist team to support the NHS medical helpline. We've increased the capacity of our online pharmacy to meet demand for home delivery and again working with NHS, we've stepped up deliveries for vulnerable patients. Turning to our retail operations, as James mentioned Boots online business has grown significantly since the start of the pandemic increasing a 120% in the month of May. To meet this increased demand and make it as easy as possible for our customers to get the products they need, we've moved swiftly to reconfigure our operations and significantly increased capacity. In beauty, we build online advice in studios, which have gathered momentum in recent weeks and building on our online presence, we recently undertook our first school of digital skincare product launch, No7 Advanced Retinol. The product had over 100,000 customers on waiting list ahead of launch and has been well received. As I said, the most categories online continue to reflect the core offering that Boots have so well known for, health and wellness, beauty and personal care. Let me now pass it back to Stefano for his closing comments.
Stefano Pessina: Thank you, Alex, in the company, we are facing some significant challenges and are moving fast to overcome them. Many of our businesses have been operating very successfully for many years and have faced extraordinary challenges and disruptions in various markets in that time. We have always been able to provide, adapt in time and I am convinced that we will come out of these crises in a strong position with a clear path to sustainable long term growth. I'm encouraged by the tangible progress we have made the quarter in developing our strategic priorities. Our agreement with Microsoft and Adobe is hugely significant and we deliver a significant step forward in our ability to offer a personalized service to our customers. The increased saving goals for our Transformational Cost Management Program gives us even more capacity to react quickly to the new market environment. As we implement our amount of savings to invest, to grow and most importantly, I am very excited about the huge step forward we have taken in our health strategy through our extended partnership with VillageMD, which will transform our community healthcare offering. Despite the challenges have come, we continue to be a well positioned company with robust and defendable cash flow and a solid balance sheet. This will allow us to invest with confidence in our business at a time when many other companies do not have the same capability. As you’ve heard 2021 will be a year of increased investment to pave the wave for a return to sustainable predictable growth. The strength of our company, the dedication of our people and the response of our customers as they recognize our commitment to serving them and supporting their communities gives me great confidence in the future of our business and if anything further strengthen my own resolve to deliver the changes that we need to drive sustainable growth. Thank you. Now we'll take your questions.
Operator: [Operator instructions] The first question today comes from the line of Eric Percher from Nephron Research. Your line is open.
Eric Percher: Thank you and thank you for your efforts on behalf of consumers and patients during this time. Given the strong US comp, I think the impact on gross margin is quite striking. I understand the front end shift which you outlined, but to what extent is their pressure on the pharmacy and beyond reimbursement pressure you would expect, are there pressures from movement from 30 to 90 or from commercial, cash and Medicaid? Could you help us on that front?
Alex Gourlay: Hi Eric, it's Alex here. Good morning. The pharmacy trend in margin was really as we had expected. So we saw some decline, and you see the IQVIA data as the pandemic come through on commercial, but has recovered as people have come back into employment to some extent. But really, it wasn't as expected. There was really no other change and as we come through notes of June, again we're watching this as you can imagine very carefully and there is nothing within that trend that went beyond what we had expect to see. What is very different is the neurotherapy, which I think James has covered in his comments where again we're seeing a reduction of just I think of 28% according to IQVIA data and neurotherapy. So the volume through this quarter was substantially less than we had expected. Having said that, we were quite worried as I think as we saw the mail order number shift, particularly in the early weeks of the pandemic, but again we're more relaxed now to see that the mail order and the retail business has stabilized particularly in the last six weeks. So that really has been the story of the pharmacy margin, this is more of a volume story than it is of any shift in the margin from our perspective.
Stefano Pessina: Yeah and confirm exactly what Alex said, if you look at the US business, with an impact of around $300 million to $350 million. Two thirds of the impact was due to gross profit and one third was due to higher SG&A as a result of bonuses for select employees plus cleaning and sanitary expenses. When you go back to the gross profit which is around $225 million to $250 million, all of it is due to raise all in the retail business. So essentially, we didn't have a volume impact because the negative trend that we saw on pharmacy scripts and that was entirely due to medical visits and the impact on new prescriptions was entirely offset by continued buoyancy on our retail business. So it was actually -- just answer to summarize everything on the gross profit was rate and the best example of the one I gave in the script is we have a fairly large photo business with quite effective margins and a decline in that business essentially cost us 90 basis points of margin just due to having profit above is compared to the average of the business.
Operator: And our next question comes from the line of Charles Rhyee from Cowen. Your line is open.
Charles Rhyee: Thanks for taking the question. May be just to follow-up quickly on Eric's question which is on when we look at the June trends of 3%, have we started to see within that new scripts accelerating as people kind of come back to the physicians? And then secondly, the VillageMD partnerships sounds great. Like what does that say to the other pilots you have been doing with our partners in primary care with Humana, MedExpress, with United and even with LabCorp? How did those kind of fit in with the new strategy, it looks like you're embarking on, thanks.
Alex Gourlay: Hi Charles and we're seeing a recovery in new therapy but it is still I would say unpredictable for all of the obvious reasons as you're seeing a further spread of the virus in many states across USA. So we're seeing return and James has given you the number we saw in June for our scripts. So encouraging but still not completely predictable and certainly not back to the number it was before the pandemic. In terms of second question, we just had a really successful trial in Houston with VillageMD, which we have accelerated with a very good management team. They are agnostic to payers. They work within every payer in the marketplace and every healthcare system. They do both fixed, they do fee for service. They do of course taking risk and most importantly of all, from our point of view, they take care of people with long term conditions. We know the $4 trillion of spend in the USA, 85% of that is long-term conditions. So they come to us with a full file from doctors. They move that file through their very strong technology to more than free from service on to taking risk and the model just works truly well really very quickly and therefore we're very keen to accelerate. We say very good relationships with UnitedHealth, and we're working with them as you know in the Las Vegas area both on centers for enrollment but also, importantly, centers for primary care and of course we continue to expand our partners in primary care model. We've opened three more of them as well. So we continue to believe strongly in the neighborhood destination concept. We believe we'll have to have more partners than just one but at the moment, the partner who really has performed the best for us has been VillageMD and we're very committed to accelerating in the way we described.
Stefano Pessina: You remember probably that we've tried many different formats of clinics, and as always, we try. We are patient and we want to see where we have the return. And with VillageMD, we found the model where we could see a real return in relatively short term or medium term and we see really complement with our pharmacies with what we normally do in a pharmacy. After many trials, we've found that that this model is probably the one which fit best with our pharmacists and when we have seen these, we didn’t hesitate to invest heavily in this model.
Alex Gourlay: And just finally, sorry, Charles, I missed LabCorp. LabCorp are really important partners to us. We have over 110, 112 I think is exactly so that really continues and we're developing of course new models with them for testing and I know obviously we'll continue to work very closely with our team. So again we feel very good of our partnership with LabCorp.
Operator: And our next question comes from the line of Kevin Caliendo from UBS. Your line is open.
Kevin Caliendo: Thank you. Thanks for taking my call. I just wanted to get a little bit more detail on the impact, the delta between your online sales and your inside store sales, sort of what they were, what's the difference in gross margin on that and sort of what are your expectations going forward? Is this the new normal or do you expect for traffic to increase in online sales to sort of stay where they are. I would love to get a take on the impact now and sort of what you expect the mix to be going forward?
James Kehoe: Yes. I'll take a bit of a shot at that. Our biggest online business is actually in the UK. Its $500 million plus business and has a very strong position in beauty and what we're looking at right now and I think I said in the prepared remarks foot traffic in our stores was down 85% which is always a tremendous impact in the UK. So effectively it was at a standstill and at the beginning of the crisis, we didn't have enough capacity in our online business, and we exited the quarter with sufficient capacity for the future. So what are we seeing right now, we are seeing in the UK that there is a slow recovery on the High Street, but transactions are still down 46%. Again it's a huge number but our online business over the last weeks and months is running in excess of 120% growth and we would expect that to continue at least for the next quarter. And I think with the job we have now is how do we move this business from being $0.5 billion business to $1 billion business. So we're setting different goals and we actually built one to market to define what we want to do. We want to define a much stronger e-commerce business in the UK where we actually have a very strong set of assets, we have a very powerful loyalty program with I think it's 17 million to 18 million members. The second thing is strong starting position and we clearly want to speak out our number one position as a beauty retail online. Regarding the permanency, I think as you build models in the next year, I think you have to assume that we will have transaction declines for the first half of next year. And I think you will see that as well in the US but it's less exaggerated in the US. But you will also see a very strong online business and to get back to your margin question, this is quite unusual. So in the quarter, we a 78% increase in online sales and that's a weak start for the quarter and running at 120% in May. The biggest issue on margin though is not necessarily the absolute increase in the online margins because we actually have had a very attractive margin profile in the UK on our e-commerce business. The issue is prior to the COVID pandemic, 70% of the orders were picked up in store and right now it's less than 20%. Now the biggest incremental cost we have is the fact that it has a zero cost is somebody is picking it up in store and it's probably cost you $3 to $4 more to actually ship it to somebody's house. So we believe that will reverse but it's probably six months away. So as consumers get much more comfortable coming back for the High Street, they will also become much more comfortable at pickup in store, which will reduce the headwind on margin as we move forward. But this will be a month by month kind of thing where we're actively managing the situation and secondly, we did put in place some short term distribution gap fillers that obviously have a higher cost right now. And as we put in place more permanent Omni channel delivery methods and the cost will come down. The US market is a little different. The margins are not attractive in the US market. It's $300 million to $400 million business. So we're quite behind the competition and maybe I'll pass it over to Alex because we have a very aggressive strategy in mind really built strong Omni channel presence in the US. We do recognize we're behind the market and we're scaling up the investment as we speak. So maybe I'll pass it to Alex and he can bring you through some of the vision for the next 6 to 18 months.
Alex Gourlay: Yeah I think that we'll see one of the key numbers reported was a 200% increase in our mobile app usage which is very encouraging. And therefore, as we see the full decline in physical stores and of course as customers adopt new Omni channel methodologies from how to do the shopping, we are very committed to accelerating in the use of the approximately and the conversion of the app into sales both retail and healthcare sales particularly in Walgreens. You saw an announcement two days ago about the Adobe-Microsoft partnership. That's really about a new approach to marketing, which we've tested for about 12 months and we're really excited by their performance and significant increases in sales and outperformance. So as we go forward, we believe that our ability to personalize our marketing, turn the dollars we spent today into different types of dollars at personalized marketing for customers, we believe that we'll be able to convert more people in mobile app drive as James has said in the UK which has been very successful for us, buy online, pick up in store, also drive-thru windows and convert more and more people into this idea of omnichannel and also platform strategy as I mentioned I think in prepared comments this idea of customer engagement platform is one we're investing in very heavily focused on our pharmacy folks and healthcare, folks in all the partnerships we've created including the VillageMD partnership, as Stefano referred to a few minutes ago. So we remain convinced that our stores are beautifully placed as forward distribution hubs in the communities and we're now investing to make sure as people more and more move to omnichannel ways of getting their goods and services including healthcare we're absolutely convinced that our investment strategy will come through strongly in years ahead.
James Kehoe: And then maybe the part we didn't cover was what's happening in the US front of store. Right now the transactions are down somewhere between 10% and 12%, but the basket size is up considerably. So we're doing a lot of work on retention of customer. But we expect -- we've seen a dramatic improvement over the last weeks as the lockdown relaxed. So currently the transactions are 11%, the drug channel is a channel that was losing transactions over a multiyear period call it 3% to 4%, but the gap is starting to close on transactions, but we're quite surprised, pleasantly surprised by our ability to retain basket size and there is a shift happening in the market where convenient locations have an advantage here that were becoming a destination. It's less frequent right now, but the destination when they come to it or they opt a higher selection.
Alex Gourlay: And just one other number that's important to understand is that we did have a lot more urban stores and some of the direct competition which I think is an advantage in the long term, but the moment the urban areas are most affected by the risk and the fear of the pandemic. So for example in New York City and Manhattan, we have almost 100 stores in Manhattan alone and you can imagine the footfall and the sales and the transaction are heavily down in these markets.
James Kehoe: It's quite interesting because as Alex said, it's very geographically dispersed. So we have a large proportion of our stores are rural and they're up about 8% in the quarter and you've got a small number of urban stores maybe 300 to 400 urban stores and they're down 18%. So as you move out of the big cities, which have disproportionately impacted, our performance is much, much better.
Operator: Our next question comes from the line of Steven Valiquette from Barclays. Your line is open.
Steven Valiquette: So my question actually kind of picks up right where you left off some of the geographic discussion in the US. I am not sure if you're able to comment on this or not, but some of investors are wondering whether you are seeing any dichotomy in the most recent trends in Sunbelt states like Florida and Texas versus trends in the upper Midwest and Northeast where things are more stable now? So separate from that rural versus urban I think just to keep our focus on the Sunbelt just any comments you can make geographically given some of the investor concerns around rising COVID cases in some key states it might also be helpful, thanks.
Alex Gourlay: The reality is there are hotspots where we're seeing some pantry-loading and then some quieting down. But really broadly, it's pretty consistent apart from the urban areas. So urban areas which James has mentioned. So again the patterns are when you quit down a level or two, so for example, if we take Houston as maybe an example of it, we did see evidence of some pantry-loading a couple of weeks ago, but they are in very specific areas and the trend is not really that clear from the numbers that we're seeing. They are clear trend that go back to what James quoted before as a very clear trend and we're watching this every single day and of course we're continuing to take all the actions we have to take to keep our stores, our pharmacies clean and applying all the rules, which are so important and of course making sure the number one product is keeping our people safe and secure and our customers safe and secure in our primacies. So there is no real trends beyond the one that James has said that we've really picked up.
James Kehoe: We did see slight outperformance in May in Texas and the Southwest on the transaction basis because they relaxed sooner and then but these things are moving around. It's not just any points of growth. It's more like two to three as a difference. It's really Metropolitan compared to rural and suburban. That's where you see the biggest shift.
Steven Valiquette: Okay. I appreciate the extra color. Thanks.
Alex Gourlay: I think one thing I would say, and again, it's been well commented is that local smaller stores are doing reasonably well again. So again we feel confident about the addition of our pharmacies and the size of pharmacies. Again national I think is coming through in a lot of market research size for sure.
Operator: Our next question comes from the line of Lisa Gill from JPMorgan. Your line is open.
Lisa Gill: Alex, I just want to go back to the comment that you made around VillageMD and how well the pilot headcount in Houston in that you've chosen them as your big partnership going forward. What did you measure that on? Did you see a lift in pharmacy comps? Like what's going to be the best metrics for us to look at when we think about the success of partnership? Again is it the pharmacy comp and can you share with us potentially the lifts that you saw?
Alex Gourlay: Yeah so absolutely pharmacy comp is a big one for all the obvious reasons and I think as we said already here, the bring in a full file of patients with them. So these doctors come in with a full file. So from day one, they are writing prescriptions for all the patients who fall then into the surgery. We love this idea of the family doctors. Really clear from market research that the family doctor, the PCP, is the person that people trusted the quarterback of the healthcare system. To put them in partnership in physical stores and in digital assets with their pharmacists and their nurses, then you get the coordinated care in a way that really reduces costs, improves are and particularly helps people to manage long-term conditions that we've described. So that is definitely one driver, along with other health care products which are associated with that doctor's practice and what the doctors recommended and what of course people take the side of the pharmacies as OTC. The other thing that's important to understand in the short term in the MPS score. In the MPS score over 90%, so this is a really fantastic feedback and the way that these particular VillageMDs are designed is really strong from the point of view of your local surgery quite different and I hope you’ve seen the pictures to what many local surgeries look like today. And last but not least of course they are very good as a practice and as a company with the software they have, they are able to really use that software to help doctors to spot gaps in care and take the best next step so closing, improving star ratings and all the things that really drive the more risk based models, which is very strong in their software and again we expect as we go forward, this will become more and more of our integrated care model and more opportunities for ourselves and other partners to divide the solutions that our long-term patients with chronic conditions needs going forward.
Lisa Gill: Is there a number that you could quantify like so if you think about that specific market and again we're not looking to extrapolate it across that 500 to 700 but just kind of qualitative number you could give us?
Alex Gourlay: Well what I can describe is that Walgreens I guess offer 20% of an average market share. You can expect us to be well above 50% when these -- with all market share when these settle down.
Operator: And our final question today will come from the line of Elizabeth Anderson from Evercore ISI. Your line is open.
Elizabeth Anderson: Just a feedback on some of the other questions that were asked on the cost side, can you talk in other more detail about where the incremental transformation costs are coming from and then specifically could you comment on how you view CapEx for the rest of this year and how you balance that CapEx spend versus some of the transformational cost, thanks?
James Kehoe: As we look at why did we raise the guidance from a transformational cost management program is the savings were seeing here to date and two is we just have greater visibility for the future programs and the degree of certainty has gone up dramatically and I think we alluded to that on the prior call. So it's not a specific program. It's a combination of programs and over a multiyear period. We did see some delays as a result of COVID and you know we haven’t moved quite a lot of supply chain and operations people away from transformational cost management program and we estimate that probably cost of program in the year above $45 million but we were easily able to absorb that with other actions to contain costs. So we think if you look against the peer set out there and the amount of incremental overhead, some of them have incurred. We believe that our $100 million in the quarter is quite low number compared to the peer set and we try to manage that as closely as we could. So we think we've done quite well on that. Your cash flow question is a good one. This is kind of interesting because there is a lot of moving pieces here. One is we do estimate that at the end of the quarter, we had approximately $0.5 billion of higher inventory to fulfill the actual volatility in demand and whether that's across pharmacy or across retail, we took a conscious decision that we were privileging having availability in-store and we exited the quarter with very, very strong available. So that $500 million we'll work itself some of it out of the cash flow by the end of the year, but we actually believe that with a risk of a potential second wave, we will probably retain somewhere between $200 million and $300 million of excess inventory at the end of the year and when I say excess that's the cover volatility that's increased significantly. Some of that is offset but a good question on capital programs and a really good example here is we have to half for a period of time our SAP rollout in the US which is a huge program because we couldn’t go into a store when they were struggling to fulfill demand in a very complex environment. So we will have a deferral of capital expenditures of probably $150 million to $250 million and I give it deliberately wrong range because I'm not sure how much of that will impact next year. So there will be inventory will probably go down next year compared to this year, but capital expenditure will go up because of deferrals this year and then the last part is there have been some assistance from the US government in terms of the deferral of cash contributions and payroll taxes on that horizon and there's been some in the UK as well. That probably benefit our cash flow to the tune of $300 million. And as you look forward that will work itself out of the system going forward. So in summary we added a lot of inventory $0.5 billion and that was offset by government contributions and the government contributions and the capital expenditures phasing. So we effectively exited the quarter with a zero impact on cash flow as a result of COVID. We do think it's probably a good idea that we keep excess inventory as we exit the year and that will have some impact on the profile next year. I hope that's helpful as you're thinking through the impacts.
Operator: I would now like to turn the call back to Gerald Gradwell for closing remarks.
Gerald Gradwell: Thank you, Lisa and just to say I think that there are a number of you that didn’t get to ask questions today. As ever we ran out of time but the IR team are here and available to take your questions over the coming days and weeks. So please feel free to reach out to us. Thank you very much indeed and we look forward to speaking to you in the next quarter.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.